Operator: Greetings, and welcome to the La-Z-Boy Incorporated Fiscal 2017 First Quarter Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Ms. Kathy Liebmann, Director of Investor Relations and Corporate Communications for La-Z-Boy. Thank you. You may begin.
Kathy Liebmann: Thank you, Melissa. Good morning and thank you for joining us to discuss our fiscal 2017 first quarter results. With us this morning are Kurt Darrow, La-Z-Boy's Chairman, President and Chief Executive Officer; and Mike Riccio, our Chief Financial Officer. Kurt will begin today's call, and then Mike will speak about the financials before turning the call back to Kurt for his concluding remarks. We will then open the call to questions. A telephone replay of the call will be available for one week beginning this afternoon. Slides will accompany this presentation and are available for viewing through our webcast link. These regular quarterly investor conference calls are one of La-Z-Boy's primary vehicles to communicate with investors about the company's current operations and future prospects. We will make forward-looking statements during this call, so I will repeat our usual Safe Harbor remarks. While these statements reflect the best judgment of management at the present time, they are subject to numerous future risks and uncertainties as detailed in our regular SEC filings, and they may differ materially from actual results due to a wide range of factors. We undertake no obligation to update any forward-looking statements made during this call. And with that, let me turn over the call to Kurt Darrow, La-Z-Boy's Chairman, President and Chief Executive Officer. Kurt?
Kurt Darrow: Thank you, Kathy, and good morning, everyone. Yesterday afternoon, we reported our fiscal 2017 first quarter results. Given the current retail environment, we were pleased to improve our earnings reflecting the great strides we have made with our supply chain initiatives, which include not only procurement but efficiencies throughout our manufacturing operations as well. Highlights for the quarter, include an increase in consolidated operating income, an increase in operating margin for both the upholstery and casegoods segments and significant increase in cash flow from operations to 34.1 million from 1.5 million in last year’s first quarter. We also provided returns to our shareholders with a purchase of more than 500,000 shares or approximately 1% of shares outstanding on the open market. We are continuing to execute against many strategic growth initiatives and opened five new stores in the first quarter across the network as part of our 4-4-5 store build out strategy. Subsequent to quarter end, the company moved into Canada with the acquisition of four stores representing another step as the company grows its percentage of ownership of the La-Z-Boy Furniture Galleries network. As we move into what is typically a stronger fall selling season, we are in an excellent service position for both our dealers and the consumer. I will now turn into a brief discussion of each of our operating segments. First, our two wholesale segments, upholstery and casegoods. On a 1.9% sales decrease in the first quarter versus the prior year, we achieved 11.1% operating margin. This performance highlights the efficiencies of our plants and the effectiveness of our other supply chain initiatives, particularly with respect to procurement, productivity, and overall client efficiencies. We have talked a lot about supply chain over the past couple of years, and it is a primary focus for us, so I will take a few moments to describe two of the key drivers that are contributing to our success. First, in terms of manufacturing efficiencies, our ERP system upgrade provides for more efficient plant scheduling and has also enabled us to improve the planning process for materials. As a result of our ability to forecast better, we are improving our service to customers with speed in deliveries. Further, the continuation of various lean initiatives has improved plant productivity greatly. Secondly, with respect to procurement, our global trading company in Hong Kong is now fully operational and contributing to our overall supply chain savings. The team is broadening our vendor base while lending their expertise to existing suppliers to help them become more competitive. On the sales side, to be clear, we have some work to do on the frontend of the various businesses. That said, I would like to add some industry perspective. For the quarter, which for us is the May through July period, we experienced softer consumer demand which we believe is an industry trend and not specifically related to us. In fact, the U.S. Census Bureau reports that the industry grew 6.6% in the February through April period, which would have been our fourth quarter compared to growth of only 2.4% for the May through July period. And circling back to our margin, in addition to the supply chain elements discussed a moment ago, we also benefited from a slight shift in product mix selling more stationary sofas and recliners which generate lower sales dollars but higher gross margins. Expanding our share in the upholstery category is one of our key growth strategies and gives us strength of our brand and an ongoing expansion of our on-trend stationary line, we see great opportunity in this category. In September, we’ll begin shipping the new iClean fabric introduced at the April Highpoint Market for the La-Z-Boy product line. This is a fabric with innovative technology that surrounds each fabric fiber to repel spills, and we believe it will be very popular with consumers. With respect to written same-store sales for the La-Z-Boy Furniture Galleries network, we went up against a healthy comp of 5.3% in last year's quarter. Against that, sales were off 1.9% for fiscal 2017 first quarter. As we continue to add stores in a number of existing markets, we are experiencing some cannibalization which affects same-store sales. There are a number of markets where we need more stores based on the demographics of that particular market. When we have a store to satisfy that demand, the existing store or stores in the market may lose some sales, but net-net, the market overall is performing better and contributing to sales and profitability at both the wholesale and the retail level. So let me use a recent example to illustrate my point. In the Richmond, Virginia market, we have had a high-performing store in the Short Pump neighborhood. Research and demographics told us that we needed another store in the market, so we opened a new store in Midlothian. Last year, the original Short Pump store was doing about 5.9 million in written sales. The new Midlothian store is on pace to do 4.7 million in written sales this year with the Short Pump store likely to lose about 10% or 15% as a result of the Midlothian store opening. However, in total, the two stores in the market are projected to have approximately 9 million to 9.5 million in written sales or some $3 million more than the original store. While this is better for the company's overall performance, it does impact written same-store sales and we and our dealers have experienced this phenomenon across a number of markets. For the quarter, we believe half of the decline in written same-store sales system wide was a result of cannibalization. As we build out the store system, our goal is to have a higher market share and drive same-store sales, but sometimes in the short term, we are facing this cannibalization issue. We along with our independent dealers are hard at work building out the store network through our 4-4-5 strategy, as we believe the store system represents an excellent means to showcase our entire line of frames and cover, including fabrics and leather and to provide consumers with a great sales experience including the opportunity to take advantage of our in-home design services. We have a healthy plan for approximately 30 projects for fiscal 2017, including 12 net new stores. We also have plans for remodels and relocations which include changing out old format stores into the new concept design which is performing at the highest level of our three store formats. In the first quarter, the La-Z-Boy Furniture Gallery network opened five new stores, remodeled four, relocated one, and closed one. We ended the period with 342 stores with 98 of them in the new design concept. In the second quarter of fiscal '17, we are planning for three new stores and two remodels across the network. In the casegoods business, we were pleased with both our 7% increase in sales as well as the increase in our operating margin to 8.6% versus 7.2% in last year's comparable quarter. Over the last two years, we have been on a course to change out a good percentage of our collections to reflect today's more casual lifestyle. It has been a significant undertaking but we are gaining traction with a number of our new transitional collections, particularly at Kincaid, which was reflected in our sales increase for the quarter. In terms of our operating margin performance, we are gaining efficiencies in this segment as we are leveraging our SG&A with the higher sales volumes. And at the April Highpoint Market, we were excited by the dealer response to American Drew's new AD Modern collection which is expected to begin shipping in late September. Now let me turn into a discussion of our retail segment. In the retail segment, delivered sales increased 10% in the quarter versus last year's first quarter with the core base of 108 stores included in last year's comparable period decreasing 4.4%. As discussed earlier, our 4-4-5 build-out strategy is a key growth driver for the company as we endeavored to fully penetrate the North American market with the La-Z-Boy Furniture Gallery stores. When we started 4-4-5 some three years ago, we projected the company would increase its ownership to approximately 40% of the store system. Since that time, with 26 stores acquired to-date, 50 stores over the last five years and projected future acquisition activity, we believe we will now own about half of the store network when 4-4-5 is complete. With the ability to earn a combined wholesale retail operating margin of close to 20% on each piece of furniture sold through a company-owned store, our integrated retail strategy is a core component to drive the earnings power of this company. During the quarter, the company opened two stores and purchased a store in Reno, Nevada. Additionally, subsequent to quarter end, we bought four stores from an independent licensee in Canada, three in Calgary, and one in Winnipeg. These stores represent our first foray into the Canadian market which historically has performed very well with sales from these stores specifically being among the highest performing throughout the La-Z-Boy Furniture Galleries network, and are expected to contribute some $25 million in sales on an annual basis to the company's retail segment. We are excited to enter what is a new market for the company and as with recent acquisitions, we are integrating these stores very quickly into our portfolio. I would like to thank Cam Davidson and his team in Canada for their 22 years of hard work and dedication. Moving forward, as fiscal 2017 unfolds we would expect to close on several more acquisitions. For the quarter, our operating margin declined to 2.3% from 5.5% in last year's first quarter. In addition to the lower volume in our core base of stores, we increased our overall advertising spend to drive volume across the company-owned markets and in particular, spent more in advertising on a number of targeted test markets. While we did experience an uptick in those test markets, we expected to write more sales across the remainder of the business that were not successful. We will continue to make strategic marketing investments and reevaluate the return on those investments and adjust our strategy, if necessary. At this point given the lift in the test markets, we do believe the up spend will drive increased sales and earnings over the longer term. Additionally, during the period, although we experienced a decline in traffic, the average ticket increased which was driven by a higher percentage of custom orders as well as in-home design sales. I will now turn the call over to Mike to speak about our financial performance.
Mike Riccio: Thank you, Kurt. Consolidated sales for the fiscal 2017 first quarter were flat at $341 million compared with last year's first quarter. For the period, consolidated operating income increased 9% to $22 million compared with $20 million in the fiscal 2016 first quarter with the consolidated operating margin increasing 60 basis points to 6.4% from 5.8%. The company reported net income attributable to La-Z-Boy Incorporated of $13.8 million or $0.28 per diluted share compared with last year's first quarter net income of $13.7 million or $0.27 per diluted share. Our consolidated gross margin improved 2.8 percentage points in the quarter compared with last year's first quarter. In addition to the supply chain efficiencies and changes in product mix that Kurt spoke about earlier, 1 percentage point of the increase in the gross margin was driven by changes in our consolidated sales tax as retail is a larger part of our business and carries a higher gross margin than our wholesale segments. Selling, general and administrative expenses as a percent of sales increased 2.2 percentage points in the fiscal 2017 first quarter compared with the same period a year ago. Hereto, the increasing size of our retail segment is contributing to the increase with 1.4 percentage points of the quarter’s increase stemming from the growth of our retail business. Other drivers of the increased SG&A as a percent of sales include advertising that was 0.9 percentage points higher in the quarter, reflecting the strategic investment made that Kurt referred to earlier and incentive comp cost that were 0.6 percentage points higher. The higher incentive comp was primarily due to the increase in our stock price during the first quarter of fiscal 2017 when compared with a decrease in our stock price in last year's comparable quarter, as several of our share-based compensation awards, our liability-based awards and their cumulative expense to-date is adjusted at the end of each quarter based on the stock price on the last day of the reporting period. Partially offsetting these increases were legal fees that were 0.2 percentage points lower as a percent of sales in the first quarter of fiscal 2017. With respect to other income expense, we reported $100,000 of expense in this year's first quarter versus $2 million of income in last year's first quarter related to foreign currency exchange rates. Now let me turn to the balance sheet. For the quarter, we generated $34 million in cash from operating activities. We ended the period with $117 million in cash and cash equivalents, $33 million in investments to enhance returns on our cash and 9 million in restricted cash. During the quarter, we spent almost $14 million to purchase more than 500,000 shares of stock and still have 3.5 million shares available for purchase in our program. Based on cash flows, stock market conditions, and other uses for cash including making investments in the business to drive growth, we will be opportunistic with respect to our share purchase program. We also paid $5 million in dividends and spent $5 million in capital expenditures and expect our CapEx the full fiscal 2017 year to be in the $35 million to $40 million range. And lastly, our effective tax rate for the quarter was 35.7% compared with 35.9% for the first quarter of fiscal 2016. Our effective tax rate varies from the 35% statutory rate, primarily due to state taxes, less the benefit of U.S. manufacturing deduction, and foreign earnings in jurisdictions with lower tax rates than the U.S. For the full year, 35% to 36% is a good range to use for modeling purposes. I’ll now turn the call back to Kurt for his concluding remarks.
Kurt Darrow: Thank you, Mike. Looking ahead, we are optimistic about our business prospects. La-Z-Boy remains the most recognized brand in the industry, our operations are lean and efficient, our service to both dealers and consumers has improved greatly, our store footprint is growing and our merchandising product offering and values are as strong as ever. We have significant opportunity to grow in the stationary arena and we are expanding our distribution channels. While there remains work to be done to complete the execution of our current growth strategies, our team is developing the next set of strategies to take La-Z-Boy Incorporated into the future, and I look forward to introducing and reporting on some of those new strategies as soon as we complete the development of our plans. We want to thank you for being on our call this morning, and I will turn things back to Kathy to start the Q&A.
Kathy Liebmann: Thank you, Kurt. We will begin the question-and-answer period now. Melissa, please review the instructions for getting into the queue to ask questions.
Operator: Thank you. [Operator Instructions]. Our first question comes from the line of Budd Bugatch with Raymond James. Please proceed with your question.
Bobby Griffin: Good morning, Kurt, Mike and Kathy. This is Bobby filling in for Budd. I appreciate you guys taking my questions.
Kurt Darrow: Good morning, Bobby.
Bobby Griffin: Kurt, I just wanted to talk a little bit more about the increase in marketing spend that you guys did during the quarter. Did the channels you chose for the marketing spend, were they any different than previous quarters? And maybe why do you think it didn’t have kind of the same impact you’ve seen from increased marketing spend in the past?
Kurt Darrow: So, I think to answer that question correctly, you have to think about this in two phases. So we picked 9 or 10 DMAs, and we did our up spend test, and frankly that part was successful although it isn’t immediately accretive because there’s a build process to this, and a lot of the increases we have wouldn’t be delivered out until the second quarter. But we saw enough positive direction that we’re going to continue the test market on the 9 or 10 DMAs. We came off a pretty good fourth quarter, and we felt that up-spending across the entire store network, and all this marketing was about our retail business. And so, we upped our spend thinking that we would get the business, and I think given the statistic I gave you about the slowdown in the industry compared to our fourth quarter, that spend did not materialize in giving us enough extra business. So we will be watching that one, and I’m making no commitments of what we do going forward, but we will be continuing with the test market spend in the 9 or 10 markets.
Bobby Griffin: Okay. Given the slowdown that you referenced for the industry over your quarter, do you see any change from the promotional environment from a competitive standpoint at all?
Kurt Darrow: Well, I answer that question very similarly all the time when the industry’s on sale 365 days a year, when there’s free delivery, when there’s 70% off merchandise, I don’t think the promotional activity can get much stronger. A lot of it is about how you find the customer today, so the traditional newsprint and TV, which was so prevalent in the industry, now all of us are doing marketing in 10 or 15 different channels, and I think that’s the thing that we need to continue to work on is, where does our customer want to be reached, and how do we most effectively reach her?
Bobby Griffin: Okay, I appreciate that. And then was the cadence of sales or cadence of the slowdown any different throughout the quarter? Did it pick up towards the end? Any color that can help us think about how we should frame kind of our view going forward based on what you’re seeing?
Kurt Darrow: No. There wasn’t a big delta between May and July. And again, from the government statistics, May was actually negative for the industry. We were not negative but – I wouldn’t say that there’s any pattern that we can detect.
Bobby Griffin: Okay. And then, Mike, just real quickly from a modeling standpoint, how should we think about the margins for the four Canadian stores when we try to flow those into our model?
Mike Riccio: Well, as we’ve spoken before on these, when we’re normally buying these companies for retail, they’re usually better than our margin that we have as a consolidated retail segment. On a consolidated basis, because we already have the sales for the business that we sell to them in it, for the business we’re getting a better margin on a smaller sales base, so it’s accretive overall to the business as well. Business will not be below our margins that we’re currently producing on our retail segment.
Bobby Griffin: Okay, I appreciate that detail. Thank you everyone for answering my questions and best of luck going forward.
Kurt Darrow: Thank you, Bobby.
Operator: Thank you. Our next question comes from the line of Brad Thomas with KeyBanc Capital Markets. Please proceed with your question.
Bradley Thomas: Thank you. Good morning, everybody.
Kurt Darrow: Good morning, Brad.
Bradley Thomas: Just to follow up on some of those questions about sales, if I could, you all have had such a nice track record over the last few years. This quarter is really a bit of an outlier. I guess, Kurt, as you look at it more closely, why do you think you all underperformed maybe the industry numbers in this quarter?
Kurt Darrow: Well, I wish I could give you a – I wish we could pinpoint exactly why, because we’re seeing the slowdown which we don’t think is going to continue forever, but we’re seeing it across all channels, across all geography. So it’s not like the West Coast was strong and the East Coast was poor, anything like that. Encouragingly, we have seen less decline – no more decline in Western Canada and Texas, so that’s kind of bottomed out although it’s some probably 15% or 20% below where it was at its peak, but it doesn’t seem to be going any further negative. So it was a myriad of things and it was with a multitude of customers, and we’re digging into it, but there’s no silver bullet that shows up that this is our core issue. And we think hopefully this is an anomaly.
Bradley Thomas: And so as we think about the upcoming quarter here, I think the promotions that I’ve seen for you all for Labor Day suggests that 25% off, and any changes we should expect out of you from a promotional standpoint in the weeks and months ahead?
Kurt Darrow: Well, we’re going to read where our business is at after the Labor Day holiday. It is either depending on which reseller you talk to, it is really either in the second or third largest weekend in the furniture business. So we’re going to take stock of where we’re at. And if we perform as expected, we’ll probably stay the course. If we don’t hit our objectives here in the next couple of weeks, you could see some changes being made.
Bradley Thomas: Got you. And as you think about some of the new products you have, like the iClean fabric, how has the initial customer response been to that, and what are you baking in from iClean, for example, in the quarters ahead?
Kurt Darrow: Well, so it’s not been out in the field long enough to get a consumer reaction but obviously our dealer network bought in heavily on the uniqueness of this fabric and the competitive advantage and story they have over the competition, because we have iClean as an exclusive for a year. So we don’t know. And we believe it’s going to be, because there’s some 50 colors and patterns in the collection, that we feel that it’s going to get some great reaction and it’s slightly higher priced. So if a customer was carrying a chair with a normal fabric on it that they flipped over to iClean, the average selling price of that will be slightly higher and should be beneficial to both our dealers and us.
Bradley Thomas: Good. Thanks for all the color, Kurt, and good luck to you all.
Kurt Darrow: Thank you, Brad.
Operator: Thank you. Our next question comes from the line of John Baugh with Stifel. Please proceed with your question.
John Baugh: Good morning, Kurt, Mike, Kathy and all La-Z-Boy team. I have a few questions. Let’s start with Canada and the acquisitions there. I guess a few questions around that. One, help us understand how many other licensees are in Canada? How this came about? Obviously, you mentioned the degradation in the oil markets has sort of stopped, but I presume that they’re down materially year-over-year. So help us think about how that purchase got done? It’s a very profitable, what, 6 million plus per store but help us think about the trend of that business, how you negotiated that deal without [ph] specific numbers? And then what your thoughts overall are on Canada?
Kurt Darrow: So, we’ve stated for a long time that we started in the La-Z-Boy store business 10 or 15 years after we had stores in the U.S., and I think we knew a lot more about what we were doing. We engaged a lot of very successful retailers to join our program. And on balance for a long time the average per store performance of the Canadian stores has been above the U.S. But we didn’t start there with small stores. We didn’t have a lot of movement to make. And particularly the Calgary operation has been on a per store basis the best performing business we’ve had in a long time. There’s nothing really unusual about this, John. He was in a situation like a lot of dealers we have purchased in the last couple of years. He was – I think he’s above age 70 and he doesn’t have family in the business and he wanted to sell the business to us. And we worked on what is a fair arrangement given the downturn in his business and he was agreeable to that. And we’re thrilled to have this business. I do want to make the call out that I think we said the business is doing 24 million, 26 million of retail sales, for the increase for La-Z-Boy it’s only half that because we’re already recording the other 13 million at wholesale. So if you’re doing your modeling, I don’t want you to add 6 million a quarter to our retail business overnight. But again, very well run business, a totally remodeled store, a brand new store two years ago. We have high expectations and we think we have a fair deal for both our dealer and ourselves.
John Baugh: Is there any additional complexity operating in Canada with corporate, owned and how many other licensed stores are in Canada?
Kurt Darrow: I think there’s another probably 25, maybe 30 stores in Canada. We have I think 11 or 12 in the Greater Toronto Area and so – they’re always this peculiar about employment laws and things like that, but nothing that we weren’t aware of and nothing we don’t think we can handle.
John Baugh: Okay. Moving to inventories which were terrific, I think last year you grew $22 million sequentially from Q4 to Q1 and this year relatively flat. Obviously, sales came in below where you expected they were but inventories look good. So I’m just curious how you feel positioned inventory wise going into the back half of the calendar year?
Kurt Darrow: We think we’re in great shape. We were underutilized a year ago and we had to catch up, and so maybe we overreached but we found this equilibrium and we’re getting – 95% plus of our stuff is shipped less than four weeks and our outages are very small. I think we had this morning less than 2,000 late orders. So our team has done a much better job of forecasting, flowing. Our vendors have done a better job of shipping on time. So we’re in the right inventory position as we head in the fall. I’m proud of the team that’s done this hard work the last two years to get us in this position.
John Baugh: And then I wanted to talk about the upholstery margin segment, which was terrific but trying to understand and I guess we could talk EBITD or we could talk gross margin, whichever is easier, but trying to understand all the parts and I looked at the Q, it looks like there was 30 basis points of help from legal. We talked about mix, I think that helps 70 basis points and then of course the supply chain efficiencies. I guess the simple overarching question would be you had a 200 basis point increase year-over-year, 210, I guess in that segment. How much of this is sort of sustainable? How do we think about our model going forward in terms of supply chain mix and other factors? Thank you.
Kurt Darrow: That was one question, John.
John Baugh: Yes, just one question.
Kurt Darrow: Where do you want me to start? So, I think this is not a big surprise for the quarter given the improvements we made last year. And we would be disappointed if we don’t perform at the low end of double digits and move that on up over time. A lot of it is dependent on volume. And if get high fixed cost plants, we put the volume through it, I think you’ll see a good margin. If the industry has a slowdown, that’s a different question. And that legal issue you brought up, year-over-year it was I think less than 400,000 and the comparison was not that great. So that year-over-year is not a big differential. So we would stick to our forecast of having a low-double digit operating margin in the upholstery business for the near term.
John Baugh: Okay. And then my last question I guess is on the revenue front and I know it’s an apple and orange but you talked about 4.4% decline in I guess delivered comps in retail. And then of course you give out the written order system wide being down 1.9% in the quarter. Is there anything to read between those two numbers to tell us anything that maybe shipment decline in the quarter and obviously was worst in the comp or I’m I slicing it too thin there?
Kurt Darrow: Yes, I think you’re slicing it too thin. And remember I talked earlier about probably half of that decline on written for the system was due to some cannibalization. But what shows up in the delivered number is we didn’t have the greatest April in written sales either, so that’s what flows into the next quarter as far as deliveries. So it is something that surprised us that it performed the way it did this quarter. But again, we were also up against 5.5% growth rate last year, which was probably over-performing. So we don’t think there’s a fundamental issue with our business. We just think maybe we have a couple of tweaks to make to get it back on track.
John Baugh: All right. Thank you for answering all those questions. I appreciate it.
Kurt Darrow: Okay, John, thank you.
Operator: Thank you. [Operator Instructions]. Our next question comes from the line of Anthony Lebiedzinski with Sidoti & Company. Please proceed with your question.
Anthony Lebiedzinski: Good morning. Thank you for taking the questions. Most of my questions were answered but just wanted to touch briefly on casegoods, certainly realizing that it’s an overall small component of your business but nevertheless a positive surprise to us. So maybe you can touch on why do you think casegoods sales were up as well as the operating margin performance was better than last year?
Kurt Darrow: Good question, Anthony, and I would say that even though it’s the smallest segment we have, it is strategic to us in the realm of the fact that the La-Z-Boy stores do sell bedroom, dining room and occasional tables and that’s a very important part of our selling room to the customer. So that is why we’re in the casegoods business primarily. Secondly, this product refresh that we’ve talked about that we were overly, traditionally based with our product selection. And for the last two to three years we’ve been phasing out of groups, introducing more lifestyle groups and that has close to completed its cycle and we’re starting to show the results of that. And then finally, like we are in the La-Z-Boy business we are in the best service position in casegoods that we’ve been in a decade. And we did switch over a couple years ago to the all import models, so blending, making it a factory in North Carolina and importing and trying to do both was more complicated than maybe we wanted to admit to. So it’s a combination of product styling and value and then being in stock, which on the numbers of SKUs that we had in the casegoods segment is not an easy thing to do. But the team is again above 90% of being in stock on all the collections and all the tables that we have in our portfolio. So a great job by the casegoods team getting to that position.
Anthony Lebiedzinski: Got it. And it sounds like you expect more incremental or at least higher sales because of the new AD Modern collection as well?
Kurt Darrow: Yes. And again that will hit floors in September and October and so we won’t have a lot of that in our next quarter numbers, but we have high expectations. And even though we have a lot of dealer buy-in collectively, we’re not always right. So we got to let the consumer vote, but we’re pretty sure that we’ve got something that’s going to help the American Drew line immensely.
Anthony Lebiedzinski: Got it. Okay. And just wanted to get a better perspective as far as, Kurt, earlier you had mentioned that you tested the marketing spend against 9 to 10 DMAs. So when you look at your store network or your overall business, how many DMAs are you in right now? So just wanted to get a sense as to what percentage of your overall business does that 9 to 10 DMAs represent?
Kurt Darrow: I think this is directionally right, Anthony. I think we’re in somewhere between 30 and 32 DMAs. And so this is like a third of them.
Anthony Lebiedzinski: Got it, okay.
Kurt Darrow: And we’re testing this and we’re going to continue to refine and make sure the data is right. And if we continue to have the positive experience, we’d roll it out to more but we weren’t willing to roll the dice and do it at all 32 DMAs out of the box.
Anthony Lebiedzinski: Got it. That makes sense. And lastly, so when you take a step back and I think you may have answered this question a little bit before, but the new ERP system clearly is helping. So when you look at the quarter and plus opportunities going forward, how much more efficiencies can we get from the new ERP system?
Kurt Darrow: I think we’re just in the early phases of learning all the benefits that we get from the system. So once you get the system in, which is the long tail of things you have to do to operate it efficiently, then having our teams at the plants learn to use it and use it more pervasively is the challenge. And so we’re still early in that journey. But the other thing I have to make sure everybody is aware is raw materials has been in our favor too for the last couple of years and there’s some benefit to that. And we haven’t had to take price increases to offset those as of late, so that has helped us being able to continue to drive up our margin as well.
Anthony Lebiedzinski: Okay. Thank you.
Kurt Darrow: Thank you.
Operator: Thank you. There are no further questions at this time. I’d like to turn the floor back to Ms. Liebmann for final remarks.
Kathy Liebmann: Thank you everyone for joining us this morning. Should you have follow-up questions, I will be available later today and you can give me a call or send me an email. Have a great day.
Operator: Thank you. This concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.